Operator: Good day and welcome to the Steel Dynamics' Fourth Quarter and Full Year 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After management’s remarks, we will conduct a question-and-answer session and instructions will follow at that time. Please be advised this call is being recorded today, January 25th, 2022, and your participation implies consent to our recording this call. If you do not agree to these terms, please disconnect.  At this time, I would like to turn the conference over to David Lipschitz, Director, Investor Relations. Please go ahead.
David Lipschitz: Thank you, Kate. Good morning and welcome to Steel Dynamics' fourth quarter and full year 2021 earnings conference call. As a reminder, today's call is being recorded and will be available on our website for replay later today. Leading today's call are Mark Millett, Chairman and Chief Executive Officer of Steel Dynamics; and Theresa Wagler, Executive Vice President and Chief Financial Officer. The other members of our senior leadership team are joining us on the call individually. Some of today's statements, which speak only as of this date, may be forward-looking and predictive, typically preceded by believe, expect, anticipate or words of similar meaning. They are intended to be protected by the Private Securities Litigation Reform Act of 1995 that actual results to turn out differently. Such statements involve risks and uncertainties related to our steel, metals recycling and fabrication businesses, as well as to general business and economic conditions. Examples of these are described in the related press release as well as in our annually filed SEC Form 10-K under the heading Forward-Looking Statements and Risk Factors, some on the Internet at www.sec.gov and is applicable in any later SEC Form 10-Q. You will also find any reference to non-GAAP financial measures reconciled to the most directly compared GAAP measures in the press release issued yesterday entitled Steel Dynamics Reports Record Fourth Quarter and Record Full Year 2021 Results. Now, I'm pleased to turn the call over to Mark.
Mark Millett: Thank you, David, and good morning, everybody. Happy 2022. Welcome to our fourth quarter and full year 2021 earnings call. We all appreciate your time and thank you for joining us today. The entire Steel Dynamics team delivered an exceptional performance in 2021 with record sales, earnings, and cash flow generation. The team totally shared the previous full year records. It was a tremendous achievement certainly supported by a strong market, but driven by the commitment and passion of our teams executing on our long-term strategies that continue to grow on through cycle and the capability. Thank you, team, for your dedication to excellence in every pursuit. I'm proud to work alongside you. Due to the steadfast commitment, our people helped to one another and their families to our communities and to our customers, we are operating safely amidst the extended pandemic. The health and welfare of our teams remain paramount. Record financial results are no important while teams did not remain safe. Although our safety performance continues to be better than industry averages, our safety performance deteriorated year-over-year. This is an unacceptable trend that we're working diligently to resolve as our intent will always to have zero incidents. Since our founding over 25 years ago, we've been intentional in managing our resources sustainably for the benefit of all of our stakeholders. We are steel industry leader in sustainability, operating exclusively with electric arc furnace technology with a differentiated circular manufacturing business model. As our journey continues, we are committed to the reduction of our climate footprint, including a practical and achievable goal for our steel mills to be carbon neutral by 2050. We're starting from a position of strength, yet plan to do more. We're competitively positioned and focused towards generating long-term sustainable growth. But before I continue with additional market commentary, I'd like Theresa to share insights into our recent performance.
Theresa Wagler: Thank you, Mark. Good morning, everyone. Good to be with you. I'd like to add my sincere appreciation and congratulate the entire team. We continue to achieve new milestones throughout the business, attaining record annual performance, with record revenues of $18.4 million derived from strong product pricing and volumes across all of our operating platforms. Record operating income of $4.3 billion and net income of $3.2 billion or $15.56 per diluted share and record cash flow from operations of $2.2 billion and adjusted EBITDA of over $4.6 billion, truly an exceptional performance. Regarding our fourth quarter 2021 results, net income was $1.09 billion or $5.49 per diluted share, which includes additional performance-based company-wide special compensation of approximately $21 million or $0.08 per diluted share, which was awarded to all non-executive eligible team members in recognition of their extraordinary performance. Our fourth quarter contribution to the company’s charitable foundation is $10 million or $0.04 per diluted share and costs of approximately $52 million or $0.18 per diluted share associated with the construction and startup of our Sinton, Texas flat roll steel mill. Excluding these items, fourth quarter 2021 adjusted net income was over $1.15 billion or $5.78 per diluted share. Our fourth quarter 2021 record revenues of $5.3 billion were 4% higher than sequential third quarter results, driven by higher realized selling values in our steel fabrication business and our flat rolled steel operations. Our fourth quarter 2021 record operating income of $1.4 billion was 8% higher than sequential results, driven by the continued demand trends at our steel fabrication operations. As we discuss our business this morning, we see positive industry fundamentals for 2022, and we're focused toward our continued transformational growth initiatives. Our steel operations generated record operating income of $1.4 billion in the fourth quarter, as increased realized selling values expanded margins across the steel platform, offsetting seasonally lower volumes. Our lagging flat rolled contract business represented approximately 80% to 85% of our total flat roll volume in the quarter. We had quarterly steel shipments of 2.7 million tons, with our steel mill operating at 88% of their capability. For the full year 2021, our steel operations achieved numerous financial and operational milestones. The platform's full year operating income was a record $4.4 billion, with record shipments of 11.2 million tons, a truly phenomenal performance. Now to remind you, we still have additional market opportunity, mostly within our long products group and in line with the startup of our Sinton, Texas mill. Because based on our existing annual steel shipping capability, we have over 13 million tons of shipping capability on the steel side and with Sinton fully ramped, it will be over 16 million tons. Operating income from our metals recycling operations for the fourth quarter remained strong at $44 million, based on the improved metal margins offsetting lower share of shipments. Many domestic steel mills have planned maintenance outages throughout the fourth quarter, lowering various scrap metals. For the full year 2021, operating income for metals recycling operations was a record $195 million driven by uniquely higher volume and average selling value for both ferrous and non-ferrous recycling. The team continues to effectively lever the strength of our circular manufacturing and operating model, benefiting both our steel and metals recycling operations by providing higher quality scrap, which improves furnace efficiency and reduces company-wide working capital requirements Our steel fabrication operations also achieved record operating income in the quarter of $238 million, 2.5 times record third quarter results, driven by materially higher realized selling value, which more than offset escalated average steel – steel input costs. For the full year 2021, our steel fabrication platform achieved another record year with operating income of $365 million and record volumes of 789,000 tons, both steel sheets [ph]. Congratulations to the team. Steel joist and deck demand remains very strong as evidenced by continued robust order activity, resulting in another record order backlog in the quarter, extending throughout 2022. Based on our backlog and customer sentiment, we expect steel fabrication earnings to continue to increase into 2022. Our cash generation continues to be strong based on our differentiated circular business model and highly durable cost structure. At the end of the fourth quarter, we had liquidity of $2.4 billion comprised of cash of $1.2 billion and are fully available and secure revolver of $1.2 billion. During the fourth quarter of 2021, we generated record cash flow from operations of $724 million and $2.2 billion for the full year, also a reference. Working capital grew $1.7 billion during the year due to higher selling values resulting in increased customer account and inventory value. During 2021, we invested $1 billion in capital investments, of which $831 million was invested in our new Texas flat rolled steel mill. During 2022, we believe capital investments will be in the range of $750 million, the majority of which relates to four new flat-rolled coating mines to be placed in Sinton and Heartland. Regarding shareholder distributions, we maintained our quarterly cash dividend of $0.26 per common share after increasing at 4% in the first quarter of 2021. We also repurchased $330 million of our common stock in the fourth quarter, representing 3% of outstanding shares. At December 31, we had $383 million remaining on the price for repurchase under that program. In the past five years, we've increased our cash dividend per share of about 86%, and we repurchased $2.3 billion of our common stock, representing 23% of outstanding shares. While during the same timeframe, we achieved an investment-grade credit rating and maintained our growth company profile by investing $3.1 million in organic capital investments and funding [indiscernible]. These actions reflect the strength of our capital foundation and consistently strong cash flow generation and the continued optimism and confidence in our future. Our capital allocation strategy prioritizes strategic growth, with shareholder distributions comprised of a base positive dividend profile that is complemented with a variable share repurchase program, while also dedicated to preserving our investment-grade credit designation. We are squarely positioned for the continuation of sustainable, optimized long-term value creation. Sustainability is a part of this strategy, and we're dedicated to our people, our communities and our environment. We're committed to operating our business with the highest level of integrity. Further committing to this path, in 2021, we announced greenhouse gas reduction and renewable energy goals, including a goal for our steel mills to be carbon neutral by 2050. To increase transparency and accountability, we also have interim milestones for 2025 and 2030. We've led the steel industry with an exclusive use of electric arc furnace steelmaking technology, circular manufacturing model and innovative solutions to increase efficiency, reduce raw material usage, reuse secondary materials and promote material conservation and recycling. We plan to sustain our leadership position by executing our climate goals through, among other avenues, implementing emission reduction projects, improving energy management, increasing the use of renewable energy and developing and supporting new innovative technologies. We have an actionable path that is more manageable and we believe, considerably less expensive than what may lay ahead for our traditional blast furnace industry peers. Our sustainability and climate strategy is an ongoing journey and we're moving forward with the intention to make a positive difference. We play an industry leadership role moving forward. Thank you, Mark.
Mark Millett: Super. Thank you, Theresa. And as you said, our steel fabrication operations performed exceptionally well throughout 2021, achieving record volume and earnings. The earnings power of this platform in a strong construction environment is yet to be completely displayed. At the end of the year, our steel joist and deck order backlog was at a record level for both volume and forward pricing, extending through March of 2022. The nonresidential construction market remains sound, especially in areas that support online retail, data centers, schools and health care, specifically represented by construction of distribution warehouse facility. Our steel fabrication operations provide a powerful natural hedge to our steel production operations in a steady or softening steel price environment. Our metals recycling operations also performed well this year, achieving record annual earnings and strong volume growth. The acquisition of a Mexican metals recycling company in August of 2020 has proven to be both strategic supply and an excellent investment, combining a great financial result with the additional benefit of growing access to prime scrap at North Central Mexico in support of our southern electric arc furnace at flat roll steel mill. The metals recycling footprint provides a strategic competitive advantage for our steel mills and our scrap-generating steel customers. We have ample access to ferrous scrap supply, including prime scrap and believe this will remain the case in the future. The steel team had an incredible year, achieving record volume and also record earnings of $4.4 billion, which eclipsed previous peaks. During 2021, the domestic steel industry operated at a production utilization rate of 81%, while our steel mills operated at a rate of 91%. We consistently operate at a higher utilization due to our value-add steel diversification, our differentiated customer supply chain solutions and the support of our internal manufacturing businesses. As we suggested during our last earnings call, new capacity and moderate import growth is pressured to hot-rolled coil price. Supply side issues have largely been resolved and lead times are back to manageable levels after ballooning post COVID as manufacturing steel demand recovered much more fruitfully than expected by the industry. Hot-rolled coil pricing has moderated. But contrary to recent alarmist commentary, the magnitude of the price correction is in no way connected to any material in overall demand. Inventory levels have certainly normalized the pre-COVID levels but are more than appropriate for the present demand environment. December MSCI shipments dropped to approximately 2.4 million tons, but this is consistent with typical seasonality, not an abnormality. Monthly import levels have undergone controlled growth in recent months as the arbitrage expanded. But as anticipated, there's been no surge. The recent hot-rolled coil price declines should effectively eradicate import volume growth in the months ahead. These are natural market adjustments and are not structural changes. Hot-rolled transactions are currently consistent with published index numbers in the range of $1,300 to $1,400 per ton. There are a limited number of large volume spot hot band offerings that can be procured at lower numbers, but these are not prevalent or reflective of the market in general. One must recognize that the spot comp and market has diminished in size over recent years as contract businesses increased across the industry. Therefore, it's not necessarily a true indicator of the whole market. Current hot-band spot offers are based on import values today, which are quickly drying up as the arbitrage strengths. Traders are reportedly finding it difficult to execute any business for second quarter delivery. Throughout our history, we have intentionally grown our value-added steel product portfolio and create valuable customer supply chain solutions to mitigate the impact of price volatility. Today, over 70% [ph] of our steel sales are considered value-add. This differentiated business model will continue to provide best-in-class financial metrics and through-cycle cash generation. Looking forward, we remain steadfast in our optimism for 2022. After a short period of seasonally lower steel demand in November and December, our flat-rolled order input rate in January was one of the best months ever. And backlogs are very healthy. Automotive sector steel consumption should grow year-over-year as the chip shortage eases, fueled by an extreme lack of dealer inventory, which is 60% lower than normal, and strong pent-up demand. The automotive sector operated at production rates lower than normalized levels in 2020 and 2021, around about 13 million units and is expected to grow to 15 million units this year and 17 million units in 2023. Nonresidential construction sector is strong as evidenced by the strength of shipments and backlogs at our structural and rail division and steel fabrication businesses. Residential construction has also been reversed, resulting in high demand for HVAC material, appliance and other related products. Stronger energy prices are now pushing up the rig count and associated under new pipe production. In aggregate, our steel backlogs and our order input strength, coupled with broad optimistic customer commentary and general market momentum, drive us to conclude that steel market dynamics will remain strong through 2022. We anticipate steel demand increasing year-over-year and with a likely retraction of import volumes possibly a moderate rebound in pricing. Steel Dynamics is a dynamic growth company, increasing through-cycle earnings and cash flow to support continuous value creation. Our new Sinton, Texas flat roll steel mill represents our most significant investment to date, providing the avenue for transformational growth and opportunity for ourselves and our customers. This differentiated investment facilitates significant through-cycle operational and financial growth for all of our stakeholders, from our teams and customers, to our vendors and shareholders. This EAF steel mill represents next-generation lower carbon emitting steel production capabilities, providing differentiated products and supply chain solutions. The 3 million tons state-of-the-art facility is designed to have product capabilities beyond that of any existing electric arc furnace flat-rolled steel producer, competing even more effectively with higher carbon emitting integrated steel facilities and high carbon from our competition. It provides us with a more diverse steel product portfolio and benefits our customers with an even broader climate-conscious supply option. The Sinton construction team has experienced numerous challenges related to supply chain disruptions and COVID impacts. These challenges resulted in hot-side production shifting from the end of 2021 to a class start before the end of February 2022. The Sinton group navigated through the challenges as well and we are on the verge of seeing the significant benefits this facility will generate. Sinton's strategic location is centralized in an underserved steel consumer region and represents over 27 million tons of relevant flat-rolled steel consumption in the US and Mexico. These customers are excited to have a freight advantage regional flat-rolled steel supplier. We have six customers committed to locate on our site, representing up to 1.8 million tons of annual flat-rolled steel processing and consumption capability. Five of these customers have already broke ground. We can offer shorter delivery times, providing a superior customer supply chain solution to the region. We will also effectively compete with steel imports arriving in Houston and the West Coast, benefiting our customers in these areas with lower logistics costs, removing risks associated with ocean transit, quality, and delivery. We have also made considerable progress in setting our raw material procurement strategy to the mill. As I mentioned, the acquisition of a Mexican metals recycling company is a critical source of prime scrap supply. They are strategically located near high-volume industrial scrap sources throughout Central and Northern Mexico and have already done a great job growing volume with a lot more to come. Sinton is not simply adding flat-rolled steel production capacity. We have a differentiated product offering, a unique regional supply chain solution, a significant geographic freight and lead-time advantage, and offer a sustainable alternative to imports in a region in need of options. We're also going to build four additional value-added flat-rolled coating lines comprised of two new paint lines and two new galvanizing in lines with Galvalume coating capability. Our unique value-added coating supply chain strategy has resulted in our existing lines consistently running at or near full capacity. Our existing customers are anxiously awaiting the volume from these new lines. One galvanizing line and one paint line will be located on site at Sinton, while the other two lines will be placed at our Heartland Flat Roll division located in Terrault, Indiana. Each site will increase flat-tolled capacity by 540,000 tons to further support our regional flat-rolled steel operations, providing them with more value-added product diversification to serve our customers. We expect these lines will begin operating in mid-2023. In closing, our unique culture and the execution of our long-term growth and capital allocation strategy continues to strengthen our financial position through strong cash flow generation and long-term value creation. Our sustainable, symbiotic operating platforms and customer-centric supply solutions demonstrate our financial and operating stability, differentiating us from any competition. We're excited to continue our growth with new value-creating opportunities. Our people and the spirit of excellence provides the foundation for our success. I thank each of you for your passion and dedication and remind you that safety is always our most critical priority. So, everyone, thank you for joining us today and, Kate, will you please open the line for questions?
Operator: Thank you. [Operator Instructions] Also, we ask that you please limit yourself to one question to facilitate time for everyone. Any additional questions can be addressed upon reentering the queue. Our first question today is coming from Michael Glick at JPMorgan Securities. Your line is live, you may begin.
Michael Glick: Good morning. In your fabrication segment, could you give us a bit more color about how we should think about the trajectories of both pricing and margins moving through the year? Any ranges there would be helpful. Thank you.
Theresa Wagler: Good morning, Michael. So I think on the last quarter call, we mentioned that we have firm expectations that the fabrication business is going to earn more earnings in the first half of 2022 than in the second half of 2021. We believe we’ll invest firmly in that. So as I mentioned in my remarks, there is an expectation that we see another improvement in the first quarter and in the second quarter as well based on the backlog. So there's more visibility in fabrication, because the backlog is still lengthy, but also because of the pricing that we're seeing that we're able to achieve, as demand remains incredibly strong. So as far as specifics, it's hard to give specifics. I will just tell you that first quarter will definitely be, I think, meaningfully higher than what we saw in the fourth quarter and, again, another step function increase in the second quarter as well.
Michael Glick: Got it. That’s helpful. Thank you.
Operator: Thank you. Our next question today is coming from Emily Chieng at Goldman Sachs. Your line is live.
Emily Chieng: Good morning, Mark and Theresa and thank you for the update today. My question is just around growth. Now that Sinton is coming towards the end there, and you've got a couple of coating lines and galv lines in the hopper, how do you think about other greenfield growth potential in your portfolio, particularly as it relates to the rebar segment? Do you have a view as to whether or not you need to see further capacity growth in the long product side from Steel Dynamics? Thank you.
Mark Millett: Well, thank you, Emily for your question. I think, the -- we will continue to, I think, demonstrate our sort of organic growth opportunities. In all honestly, rebar is not a focus of ours. It certainly has given us diversification in our structure and rail division and Roanoke Bar division, and we'll flex that as markets go up and down. But that rebar is not a target, so to speak, of any major growth. We will continue to grow in the value-added business. Obviously, I think, we've demonstrated that the strategic path has been very intentional and very, very profitable for us. And more importantly, it allows us that diversity of product mix to sustain higher utilization levels through the cycle. So I think that there's still opportunity to further value-add processing on the flat rolled side of things. Additionally, though, it's an intriguing marketplace out there, and we're seeing a pipeline that is full of transactional opportunities today as well.
Emily Chieng: Great. That’s very helpful. Thank you.
Operator: Our next question today is coming from Timna Tanners at Wolfe Research. Your line is live.
Timna Tanners: Hey, good morning and Happy New Year.
Mark Millett: Happy New Year
Timna Tanners: Thanks. Happy New Year. I want to ask a little bit more about what you're seeing in the first quarter in terms of volumes. Clearly, the softer spot market that prevailed as you mentioned in the fourth quarter with some of the lighter volumes has spilled over a bit to the first quarter. And wondering any early thoughts about what that could mean for shipments quarter-over-quarter. Any thoughts on what's driving that and what might cause that to stabilize? Thanks.
Mark Millett: Well, I think we certainly saw the seasonality. And as I said earlier, there is one headline that MSCI shows that 17% compared to August and December. Well, if you look at it each year in history, it always does that. And it's just -- the seasonal adjustment is going to sort of disappear in the fourth quarter -- I mean first quarter of the year. The shipping volumes we would anticipate will increase accordingly.
Timna Tanners: Do you expect normal increase from the fourth quarter to the first quarter in your shipping volumes across the board?
Mark Millett: Pretty much, yes.
Timna Tanners: Okay. Interesting. Thanks.
Mark Millett: Again, we're not seeing -- people, I think, are relating a little bit of pricing softness here with demand. And as I said earlier, demand through our lens is incredibly strong and will remain so throughout the year.
Theresa Wagler: The only thing I would add just to that, Timna, that we actually experienced at the end of the fourth quarter some logistics issues as well like I'm sure people are experiencing outside the steel industry as well as trucking and rail, and things have been disrupted. So there were shipments that we expected to actually deliver in December that we're not able to be delivered. So it's more of a timing issue. So that's going to benefit the first quarter as well.
Timna Tanners: Okay. I’ll get back in the queue. Thanks.
Operator: Thank you. Our next question today is coming from Seth Rosenfeld at Exane BNP Paribas. Your line is live.
Seth Rosenfeld: Good afternoon. If I can follow-up, please, with the outlook for free cash flow and in particular the role of working capital. Obviously, the last year, in particular, Q4, saw a lot of investment in working capital. There were some delays of Sinton ramp-up. Wondering if that was one reason particularly elevated investments in Q4. And with that in mind, can you give us a bit of color on expectations, both outcome in Q1 and for the year ahead? Is it reasonable to assume that with Sinton ramp-up a slightly decline in ASPs for sheet, we could expect a meaningful working capital release? Thank you.
Theresa Wagler: Good morning, Seth, thanks for the question. So yes, working capital, we did see significant growth during 2021, most of which is associated with the value growth in our steel products and in the increased volume and product pricing growth in our fabrications business. Sinton, at the end of the year, had about $150 million of working capital and we would expect to see that grow by probably end of the year $50 million during 2022. So in the first half of the year, there's still some structural growth attached to that. But otherwise, as we see product pricing fees and we see the strength in volume, so we would expect to see valuations come down, which should have a pretty significant working capital release during the entirety of the year. You might not see as much of it in the first half, but definitely in the second half of the year.
Seth Rosenfeld: Okay. Thank you very much.
Operator: Thank you. Our next question today is coming from Andreas Bokkenheuser at UBS. Your line is live.
Andreas Bokkenheuser: Thank you. Just a question on inflation. I mean, obviously, it's a bit of an inflationary environment. How are you kind of thinking about inflation this year? Is there anything you kind of got on the table that can kind of mitigate inflation and looking at energy, even scrap? I mean, you've already integrated some scrap yards. Is there room for more scrap yard integration and acquisition there? That's the question on inflation. Thank you very much.
Mark Millett: Well, I think the -- we can't speak to the overall impact of inflation on the domestic economy. But relative to SDI, I think we're not impacted dramatically. Obviously, scrap will ramp to the marketplace. But from a cost of sort of conversion, we're relatively under control. We have been impacted a little by our cost and we've been impacted by the zinc cost over the last 12, 18 months moving up, but most of which is passed through -- the hourly cost, which sell is higher at our engineered bar division than any other mill, again, that tends to be passed to the customers. So we're not seeing a massive inflationary impact to our cost structure.
Theresa Wagler: I would add -- and Andreas, I know you know this. As it relates to wages where a lot of people are seeing a really significant increase because we have so much of our compensation across the entire team that's performance-based, and it naturally fluctuates. So, we're not seeing the same pressure from a wage perspective because there's so much of the performance bonus compensation that's structurally in place. So I think Mark said, it perfectly that we're not seeing a lot of pressure with items that are passed through to the customer.
Mark Millett: And then one additional comment. I think we may have made this same comment in the last call. But as you reflect on our results, it's amazing to hire the teams throughout our organization just continue to break productivity records. And as such, over the years, we've found our conversion costs are actually incredibly stable or consistent given that the additional volume reduces our fixed cost, our overhead costs, which sort of absorbs any additional sort of inflationary pricing on alloys and those sorts of things. So through -- it's amazing, we just did the study, to be honest, with our Board last November. It's absolutely amazing, how our conversion costs remain very, very, very stable through the cycle.
Andreas Bokkenheuser: So your performance-based structure is a good point. Thank you very much. I appreciate the insight.
Operator: Thank you. Our next question today is coming from Curt Woodworth at Credit Suisse. Your line is live.
Curt Woodworth: Yeah. Thanks. Good morning Mark and Theresa. First question is just with regards to the Sinton ramp-up. I was wondering if you could help us understand the cadence of volume growth in the next couple of quarters and what level of start-up costs we should expect. And then you noted, I think, $1.8 million of on-site captive supply. When would you expect that to be fully functional?
Mark Millett: Well, obviously, we are anticipating the final piece of the jigsaw to be put in place here in the next few days, if not the next week or so, so that the actual specific ramp over the next three months is difficult to predict. But we feel we should demonstrate our performance no less than others signing up the mills here in the last five, 10 years. So we would anticipate at least two million tons of shipments this year, reaching capacity -- essential capacity in the late third quarter or fourth -- probably fourth quarter.
Curt Woodworth: Okay. And then in terms of the on-site supply, when would you expect that to be at that consumption rate?
Mark Millett: Well, I think the -- it will come on in concert with our mill, in all honesty. We have one facility that's actually operating currently. There is one very large facility that will be operational in the next couple of months, but it's -- I'm not saying it was totally intentional. But by -- look, if nothing else, those facilities are going to ramp up nicely in concert with the steel mill. On the value-add side, we -- I think we've suggested in the past, the paint line, coating line is doing extremely well. The Galvalume capability comes online here, I think, in a couple of weeks. The finishing facilities performed extremely well. The hot strip mill is essentially commissioned. We bought slabs from third parties, and we also transferred intermediate slabs from our own facilities, took them that sort of preheated them in the tunnel furnace and have driven them through the mill quite successfully. So a lot of the parts are in great, great shape, but just waiting on the cash flow.
Curt Woodworth: Okay. And then my follow-up is just maybe get a little bit more color on market dynamics last few months. I mean, it seems like between COVID, seasonality, destocking, rising supply, there's a lot of moving pieces here. And it seems like you're indicating that your January order book definitely strengthened relative to November and December. I think you had a comment that you said that inventories were normal, but some service centers saying they've got way too much, others don't. So I'm just curious, is your sense that the inventory level in the industry is generally getting rightsized pretty quickly at this point? And then in terms of the volume trends you saw in the fourth quarter, was it more concentrated on, say, the service center side of your business or on the OEM side? Thank you.
Mark Millett: I think when I say inventories have normalized, I'm just going by history. I mean, it's quite simple, if you look at the last five or six years for sure, but you go back in time longer than that, levels are appropriate. And have they grown? Absolutely. So, they grew from an absolute historic low. And as I indicated, our belief is that they are appropriate for the sort of demand cycle that we're going through. The -- so a little bit of a lull, I do believe. And you've got to live through a few of these cycles in the past, and our team is fortunate to have that experience. But you hit COVID, the whole industry grown to a halt. Things started up much more rapidly. And there's chaos there, absolutely, in the industry, including ourselves, to some degree to catch up. And then when you catch up, what happens? Well, our industry is not perfect. And in general, it overshoots a little bit. And in November, December, you saw things catching up. And all of a sudden, people are getting their supply simultaneously from two to three mills. So, you get that little overshoot, which I think was seen in November to December. Those in the automotive space probably saw it more than most. And so you had that softness particularly in hot band. That will resolve itself. As I said earlier, we don't see any change in the underlying consumption of that steel. Currently, -- and nor do we see that happening over the months and quarters ahead. You just have a little kind of a spike of supply that came through given the seasonality. But again, we're incredibly optimistic for 2022.
Operator: Thank you. Our next question today is coming from Carlos De Alba at Morgan Stanley. Your line is live.
Carlos De Alba: Yes, thank you very much. And just I guess following up on the last point. So, how should we reconcile then, Mark, that the fact that the lead-times in the industry, the information that is product available have continued to come down? But you -- as you said, you are extremely constructive on how your order book is looking like and demand expectations. Is it -- is this just a supply that you mentioned that picked up in recent months and is going to now be absorbed by demand, or is it Steel Dynamics is gaining market share versus competitors, and therefore, what you're seeing may be different to what the industry statistics that we have access to?
Mark Millett: Well, I think we're certainly seeing market share in certain markets. We've certainly gained a dramatic traction in the automotive sphere, for instance. Unfortunately, that traction was with the automotive producers that weren't as impacted by the chip shortage is maybe the US domestic producers. So, yes, we are gaining sort of incremental market share there. Again, we have phenomenally sort of supportive loyal customers that in -- whether times like this, will support us and then bring their orders to us. Our overall business model, though, again, with a diverse product portfolio that we have, that we have differentiated supply chain solutions in our coated and prepaint business is just different, and it provides phenomenal value for the customer. And those businesses remain strong. And we think that the coated value-add market in general is going to remain very, very, very solid going forward. All you have is a little bit of seasonality, sort of, catch-up moment in hot band, which pressured spot price. If you can envision and I envision that the import volumes that picked up in the last three or four months because of a massive arbitrage growth, if you envision that, that can moderate, which I think is the arbitrage is shrinking. And as we listen to traders out there, having difficulty sustaining business for late second quarter of this year, if the imports do fall off a little, you're going to get demand pressure again. And it wouldn’t be unexpected on our part if you saw a little rebound in pricing.
Carlos De Alba: All right. Excellent. Thank you very much, Mark.
Operator: Thank you. Our next question today is coming from David Gagliano at BMO Capital Markets. Your line is live, you may begin.
David Gagliano: Great. Thanks for taking my questions. I'll just ask a couple of quick ones here. Just on the commentary around 85% of flat roll lagged pricing in the fourth quarter. Can you just give us a sense so we can tighten up the models a little bit for first quarter? What was that average lag duration wise? And is that -- are those reasonable proxies for the first quarter as well?
Theresa Wagler: Yes. The contract business, David, in the fourth quarter was at 80% to 85%, and it's likely to stay in that range at least through the first half of the year, as we're servicing our contract customers. And then, as Sinton comes online more strongly in the second half of the year, that's naturally going to decline to a certain degree, just because of the shift in mix. But we're expecting that to be maintained. As it relates to the lag, it's really about, on average, a two-month lag on the flat roll pricing, and it's generally tied to the CRU index.
David Gagliano: Okay. And that's a reasonable proxy for the first quarter as well, two months lag?
Theresa Wagler: Yes. Correct.
David Gagliano: Okay. Perfect. Thanks. And then just last question for me. The CapEx, it went up a little bit, 700 prior guide to 750, what was the reason behind that?
Theresa Wagler: Well, it is simply that we went through the extensive study that we do every year, and that generally takes place in the November time frame. So we proved additional projects and those projects, as kind of attested to by our return on invested capital metrics, are really efficiency and growth-oriented, but they're just smaller in nature. So there's nothing individually to call out for the reasons we increase. They're just some really nice projects came to light.
David Gagliano: Okay. Perfect. It’s helpful. Thanks.
Theresa Wagler: You’re welcome.
Mark Millett: Thanks, David.
Operator: Thank you. Our next question today is coming from Phil Gibbs at KeyBanc Capital Markets. Your line is live.
Phil Gibbs: Yes. Thanks very much. Good morning.
Mark Millett: Good morning, Phil.
Phil Gibbs: Hi, Theresa, can you provide the sheet shipments by product grade?
Theresa Wagler: I apologize. I'm smiling because I did miss that. The hot mill and P&O shipments for the fourth quarter were 693,000 tons. Cold rolled was 136,000 tons. And finally, the coated products were 994,000 tons.
Phil Gibbs: Perfect. And then I remember last quarter, you had -- and Mark, I think you had talked about yellow goods having a decent outlook, and we obviously know your feelings on automotive. What's the future look like in your opinion for SBQ this year and engineered bar?
Mark Millett: I think for Engineered Bar is relatively steady. I think we'll gain some volume as automotive picks up is again 15%, 20% for auto with Engineered Bar, I do believe. So they're going to gain on the automotive side. They are going to lose a bit of volume, not much. As hot band has come off, folks are switching from seamless pipe over to ERW pipe. And so there was a little bit of volume there. For us, though, generally, that's going to benefit. We're already seeing the benefit then in Columbus, to be honest, as we're picking up energy orders there in one large mill – pipe mill is starting back up.
Phil Gibbs: Can you talk about those dynamics a little bit more on the energy side in terms of the switch that it have to do with the trade case that was filed?
Mark Millett: It's -- from our understanding, it's more just a cost issue, taking a slug -- Engineered Bar slug and piecing it and producing seamless pipe is more expensive today now that hot band has come off. And so people are switching to the ERW.
Phil Gibbs: Thank you so much.
Operator: Thank you. Our next question today is coming from Andrew Cosgrove at Bloomberg Intelligence. Your line is live.
Andrew Cosgrove: Hi. Thanks for taking my question. I know you said conversion costs have been kept in check and the team has done a pretty good job. I was just a little bit curious as to if you take the raw material spread and then the excess on top of that. It looks like it ticked up 10% to 15% quarter-on-quarter. I was just curious if that anything to do with having to buy more hot band because Sinton was not up and running and the finishing lines were or anything else that you could add on that particular front?
Mark Millett: Great question. And yes, the conversion -- as I indicated earlier, the conversion costs under control is actually through our lines specifically. But as our conversion businesses -- and today, one has to remember, we're purchasing – 1.7 million, 1.8 million tons of substring from others to support our -- the tax in Pittsburgh. We buy some third parties for our New Millennium fabrication business. You've got U.S. steel supply. You have Heartland facility. So yes, the added substrate or the substrate costs moving through does impact the perceived conversion.
Andrew Cosgrove: Right. Okay. And then just lastly, could you just give us a little bit of an idea how much it costs to move things geographically, say from the Gulf up to the Midwest or from where you guys are situated at in the middle of the country to the western part? And then, I guess, along the same lines would be, are you still planning on sending 30% of Sinton's shipments to Mexico?
Mark Millett: Well, several questions there, I guess, well several answers to give. From the Midwest – you mentioned Midwest, the West Coast, very little material moves from Midwest or East through the Rockies to the West Coast. It's quite an exorbitant freight rate. That's why one of the many advantages of Sinton is actually the freight rate, believe it or not, all the way to the West Coast to compete with the inflow market there. I think the freight rate there is $55 a ton or thereabouts. That the cheapest freight rate of any mill to the West Coast to sort of calibrate freights, Northern freight folks in Northern Indiana are shipping down to Mexico. And that's in the order of, I do believe, $95 to $110 a ton or as -- from Sinton into Mexico into Monterrey is going to be likely $37-ish a ton. So, the Sinton facility itself is a phenomenal sort of geographic advantage there to move that material into Mexico. And you're right, 30% or so, a million tons or thereabouts should flow into Mexico from the Sinton facility.
Andrew Cosgrove: Okay. Great. Thank you.
Operator: Thank you. Our next question today is coming from John Tumazos at John Tumazos Very Independent Research. Your line is live.
John Tumazos: Congratulations on all the customers on your campus at Sinton. With prime metals and the coating lines and then those customers, it's, I guess, close to 4 million tons of potential demand, do you expect to have the 6 more vacant lots for new customers filled? Does it make sense to build a second mill next to the first one if the demand is this good? Is it possible from an engineering standpoint to add another caster to increase the capacity at Sinton above 3 million tons given how much the customers seem to love it?
Mark Millett: Well, John, your independent research is on target as always. So thank you, and thank you for the kind words on the team's performance because they did a phenomenal job last year. I would suggest that Sinton is jewel. The reception we've had there thus far for those six -- to come and be building even before the plant is running, I think, is testament to the vacuum of -- or the impact of the vacuum of steel primary steel production down then. So Sinton is a much needed asset for our industry, and it's definitely differentiated. The addition of a second caster likely is unlikely, but we have designed that facility to add somewhere between one million to 1.5 million tons of additional capacity. So expansion of that facility -- the capability is definitely there. I think we will also…
John Tumazos: Mark, what is the limiting factor to the capacity of the plant? Is it the caster or the surrounding infrastructure?
Mark Millett: The caster. The hot strip mill, like our other mills has the ability, given the -- width gauge combination that we can produce there, has 4.5 million tons of capacity.
John Tumazos: Thank you. My son went on a Sinton tour in November. He joined the American AIST, American Iron Steel Technology Group, and he was telling me how great it was and sent me along his notes. So I'm not all that insightful, Mark. I learned from the younger generation.
Mark Millett: Yeah. I know, John. I don't know how that happened, but we were glad that he was there, I guess.
John Tumazos: …leadership conference in September of AIST and six -- nine other trade associations in Pittsburgh and has his own friends and the engineering departments of all these steel companies now.
Mark Millett: Yeah. Well, that's good. But no, thanks for your continued support of us, John. I appreciate it.
Operator: Thank you. Our next question today is a follow-up from Timna Tanners. Your line is live.
Timna Tanners: Hey, guys thanks for squeezing me in. I just think there's a lot of question about the fabricating business. And if you look historically the profitability in that division for EBITDA per ton has been pretty consistently $50 to $200 for -- just to give you a broad range, of course. Prices went up $1,000 a ton, EBITDA per ton exploded, and you say it's going to be sustained there. So just like to understand a little bit, is this a new normal in terms of earnings, is this out earning? What's driving that? Are customers not pushing back at all on the big increases in light of falling underlying steel prices? Just any further color would be really helpful.
Mark Millett: Well, it depends on what time period you're calibrating to, Timna, I guess. That industry since last peak has changed and consolidated to large degree. And at the same time, currently, the actual market demand is at a historical high.
Theresa Wagler: So Timna, the visibility that we have isn't predicated upon falling steel prices. Its predicated upon the forward pricing that we know we have in the order book for steel joist index. The team has done a really good job of managing the steel raw material inputs. So that's why we have more certainty. I would not say this is a new normal, no. This is an extraordinary time for them. But to Mark's point, we're gaining market share as well as the team has been doing some really interesting things on the operational side. We've added ship. Unique thing about our fabrication business is we can really achieve whatever volume demand will allow us to have just by adding people rather than adding assets, which is a very powerful tool. As we add volume, it really drops the bottom-line. And so that's why, again, we feel really confident about 2022 for the fabrication, but it shouldn't be our expectation that this is something that is the new normal.
Operator: Thank you. Our final question for today is a follow-up from Seth Rosenfeld. Your line is live.
Seth Rosenfeld: Thank you again for taking our questions. One final one of mine for shareholder returns. In the past, you've talked about the completion of Sinton as a potential catalyst to increase the base dividend. Can you talk us through the time line in terms of the de-risking of Sinton that you would want to secure before making that step? When we think about the scale of any potential increase, how do we consider that versus historical strategy? Thank you.
Theresa Wagler: So, I think we mentioned it on the last quarter conference call as well as there is definitely the emphasis from the Board and from the senior leadership team to increase the dividend when we have through-cycle cash earnings that are increasing. And so that definitely is Sinton. We generally have our increases in the first quarter. I can't tell you what that will look like. I would expect to see it sometime in the first half of the year. But again, that's a Board decision to make. They're very supportive of this substantial increase. We have a target of a net income payout ratio of at least 35%. So, that's something that we'll take into consideration as we look at the through-cycle earnings for Sinton and what that dividend increase will look like. But in the meantime, we're using the share buyback program as a complement. That's something that we believe is very powerful for shareholder insurance as well.
Operator: Thank you. That was our final question for today. That concludes our question-and-answer session. I'd like to turn the call back over to Mr. Millett for any closing remarks.
Mark Millett: Thanks Kate. Just quite simply, for those on the line for us, thank you for that support, for sure. Any customers, again, my heartfelt thanks to you. You make us who we are, in all honesty. And to our team, guys and girls, you absolutely shattered any previous performance by a long margin. And yes, the market helped, but what you do each and every day makes us different and proud to be part of you. But lastly, though, phenomenal performance from a volume and from a profitability standpoint. But we need to buckle down -- double back down on our safety and get that trend going back in that with the trajectory as we have in the past. But again, thank you, each and every one of you. Make it a great day. Bye, bye.
Operator: Thank you. Ladies and gentlemen, that concludes today's call. Thank you for your participation and have a great and safe day.